Operator: Good afternoon, everyone. And thank you for participating in today's conference call to discuss Nature's Sunshine's Financial Results for the First Quarter Ended March 31, 2025. Joining us today are Nature's Sunshine CEO, Terrence Moorehead; CFO, Shane Jones; and General Counsel, Nate Brower. Following the remarks, we'll open the call for analyst questions. Before we go further, I would like to turn the call over to Mr. Brower as he reads the company's safe harbor statements within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Nate, please go ahead.
Nate Brower: Good afternoon. And thanks for joining our conference call to discuss our first quarter 2025 financial results. I'd like to remind everyone that this call is available for replay via telephonic dial-in through May 20 and via a live webcast that will be posted in the Investor Relations portion of our website at ir.naturesunshine.com. The information on this call contains forward-looking statements. These statements are often characterized by terminologies such as believe, hope, may, anticipate, expect, will and other similar expressions. Forward-looking statements are not guarantees of future performance, and the actual results may be materially different from the results implied by forward-looking statements. Factors that could cause results to different materially from those implied herein include, but are not limited to, those factors disclosed in the company's annual report on Form 10-K under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The information on this call speaks only as of today's date, and the company disclaims any duty to update the information provided herein. Now I would like to turn the call over to the CEO of Nature's Sunshine, Terrence Moorehead. Terrence?
Terrence Moorehead: Thank you, Nate. And good afternoon, everyone. I want to thank you for joining today's call to discuss our first quarter results. Today, I'll provide an overview of our first quarter performance and offer some insights into how the business is building momentum. From there, Shane will take you through our financials in more detail. To begin, we find ourselves operating in an increasingly uncertain macroeconomic environment as international trade, tariffs and consumer sentiment have become increasingly volatile. So before I dive in, I want to take a moment to share some thoughts on how we're approaching the current situation. And specifically, I'd like to talk about our plans to get ahead of the evolving tariff situation and the actions we're taking to protect the business and our customers. Despite increased market uncertainty, the underlying demand for our products remains strong, and our outlook for 2025 remains positive. Importantly, we've taken some aggressive steps to minimize our exposure to the tariffs like increasing raw ingredient inventory, enforcing pricing contracts with key suppliers, and moving finished goods into selected markets to avoid retaliatory tariffs. For our high-risk products, we're holding anywhere from nine to 12 months of inventory. This gives us time to realign our supply chain, find alternative suppliers, identify product substitutes, evaluate pricing or make any other necessary adjustments. Based on our plans, we believe we're well positioned to address the threat posed by the tariffs in 2025. We continue to monitor the situation and are particularly sensitive to how consumer spending will be impacted if household budgets come under increased pressure. Our goal is to continue our positive customer growth trend so we've tried to position ourselves in a way that allows us to avoid tariff-related price increases that might interrupt our momentum. Now with that as a backdrop, we're very pleased to report that 2025 is off to a strong start. First quarter results beat analyst expectations as revenue came in at $113 million or $115 million on a constant currency basis up 5% versus prior year. Adjusted EBITDA was also strong, coming in at $11 million, up 20% versus prior year. The results reflect strong execution of our strategies in Asia Pacific and Europe, while leading indicators show us building momentum in North America. In Asia Pacific, we continue to benefit from the strategic changes that we made to our marketing mix as first quarter revenue increased 10% versus prior year on a local currency basis. Once again, Japan and Taiwan were standout performers as sales increased 24% and 18%, respectively, on a local currency basis. Our strategy to refocus the business on high-velocity products that offer an attractive repay purchase opportunity continued to drive strong order growth, while the expansion of our Subscribe & Thrive autoship program helped improve customer activation and drive orders. Overall, we remain very encouraged by the strength of our business in the region. In Europe, our performance continued to strengthen, as sales increased 9% on a constant currency basis. The strong performance was primarily driven by Central Europe, which was up 16% in local currency. As we continued to see positive results from the team's disciplined approach and strong execution. An intensified focus on the power line continued to drive sales and customer spend while our expansion into the Baltic states helped increase customer activation. Moving forward, we expect to see continued positive momentum in the region. In North America, sales were down 4% and on a very difficult comparison versus prior year. Having said that, Q1 performance was slightly ahead of expectations as we saw our third consecutive quarter of sequential order growth a positive sign that we're building momentum. Additionally, our nutritional health practitioners, specialty retailers and affiliates, continued to show improved fundamentals in response to some organizational changes that were put in place to improve touch management, discipline and support. We also continued to build our digital capabilities to attract and retain customers. In the first quarter, digital sales increased 19% versus prior year, which is more than double the supplement industry's digital growth rate. So we continue to gain share in this segment and are on track with our strategy. We're also encouraged by our Subscribe & Thrive autoship program that represents approximately 26% of total sales and about 45% of DTC sales. We expect to see continued growth from Subscribe & Thrive as it continues to be the most attractive way to buy our products. Moving forward, we believe there is significant untapped potential in North America and expect to continue to build momentum in 2025. Finally, in March, we launched our 2024 impact report that outlines our ongoing commitment to sustainability and transparency. Our customers understand and appreciate the value of our sustainability initiatives offer, and they count on us to bring them the best, most reliable products in the world. To live up to their expectations, we set bold sustainability goals that include everything from reducing our carbon emissions by 50% and to cutting waste by 35% from utilizing 100% solar power at our manufacturing facility to achieving zero waste certification at our US distribution centers and delivering zero waste to landfill in the US. I'm pleased to share that we achieved most of the sustainability goals we established, which is a testament to the strength of our culture and our commitment to responsible business practices. Of course, we look forward to doing more to proactively impact our planet in the future. In closing, as we look ahead to the balance of 2025, we're encouraged by the strength of our first quarter results and remain confident in the underlying fundamentals of the business. Our investments in field activation, product marketing and digital have been instrumental in strengthening demand for our products as evidenced by our double-digit growth in Asia Pacific, exceptional growth in Europe and double-digit customer growth in North America. We're excited about the opportunities in front of us, and will continue to drive operational improvements and capitalize on emerging opportunities to deliver long-term value for our shareholders. With that, I'd like to turn the call over to our Chief Financial Officer, Shane Jones. Shane?
Shane Jones: Thank you, Terrence. Let's talk about results in more detail. Net sales in the first quarter were $113.2 million compared to $111 million in the year ago quarter, a 2% increase versus the prior year were a 5% increase, excluding the impact of foreign exchange rates. As Terrence discussed, this was driven by strong performance across both Asia Pacific and Europe. Looking at sales by market in Q1, I'll start with APAC. In Asia Pacific, we reported growth of 5% to $48.7 million or up 10% when excluding the impact of foreign exchange. This was driven by a very strong growth in Taiwan and Japan, where sales on a local currency basis grew 18% and 24%, respectively, in Q1. The strategies we implemented last year continue to produce the results intended doing growth in both customers and transactions. We're especially excited about the momentum that we see in Japan, where new customer growth has exceeded 20% for 3 straight quarters now. Sales in Europe during Q1 increased 8% on a reported basis and 9% on a local currency basis. Excellent field execution, combined with the strong adoption of our Power Line products and continued expansion in the Baltics drove robust growth in Central Europe, where sales increased 15%. We're also seeing some encouraging signs in Eastern Europe, where sales grew 8% year-over-year during Q1. Looking at our North America business, sales declined 4% on both a reported and local currency basis. The sales decline in North America is reflective of a difficult year-over-year comp as Q1 2024 was a strong quarter over 5% growth. In addition to that, we continue to see increased uncertainty in the North America macroeconomic environment, which is impacting consumer sentiment. Despite that headwind, we see encouraging signs in both our digital and core businesses. The additional business grew 19% in Q1, showing 2 points of sequential acceleration versus Q4. This growth was driven by a 30% increase in DTC customers, along with increases in ordering accounts, retention and Amazon sales. In addition to this strength, we are also seeing stabilization and early signs of improvement in our core business, which should lead to sequential improvement in sales trends during Q2 and Q3. The combination of these factors increases our confidence that we're moving in the right direction as we work to stabilize and reaccelerate growth in the region. Gross margin in the first quarter increased 90 basis points to 72.1% compared to a year ago, driven by the results of our gross margin initiatives, combined with disciplined cost management. Q1 gross margin results also showed sequential improvement from Q4, reflecting steady margin improvement. We expect that trend to continue in coming quarters as we realize savings from our initiatives and as the negative impact of foreign exchange rates diminishes. This improvement will be despite negative headwinds caused by recent tariff announcements and volatility due to the rapidly evolving trade landscape. We have a diverse supply chain and have already taken measures to prepare for and mitigate the impacts of recent trade policy changes. Therefore, we believe we are well positioned to be able to adapt and adjust as necessary and expect minimal impact to gross margin in 2025. Volume incentives as a percentage of net sales were 30.8% compared to 30.2% in the year ago quarter. The increase was primarily due to changes in market mix. Selling, general and administrative expenses during the first quarter were $40.6 million compared to $40.8 million in the year ago quarter. The decrease was due to our cost-out initiatives and strong cost control. As a percentage of net sales, SG&A expenses decreased to 35.8% in the first quarter compared to 36.7% a year ago. We continue to scrutinize costs closely and ensure that investments have a strong return on investment. As such, we expect SG&A to remain near these levels as we progress through the year. Operating income increased to $6.2 million or 5.4% of net sales compared to $4.6 million or 4.2% of net sales in the year ago quarter. GAAP net income attributable to common shareholders for the first quarter was $4.7 million or $0.25 per diluted common share compared to net income of $2.3 million or $0.12 per diluted share in the year ago quarter. Adjusted EBITDA, as defined in our earnings release, increased 20% to $11 million compared to $9.2 million in the year ago quarter. Our balance sheet remains clean with cash and cash equivalents of $86.5 million and zero debt. Inventory increased to $64.9 million at the end of the first quarter which is $5.5 million more than we ended 2024. We made a conscious decision to increase inventory levels of both raw materials and finished goods to support service levels and in preparation for tariff-related costs and delays. Net cash provided by operating activities was $2.6 million compared to $2.2 million in the prior year period. We repurchased 38,000 shares for approximately $0.5 million during the quarter ended March 31, 2025, with $8.3 million remaining on our previous $30 million share repurchase program. As announced today, the company's Board of Directors increased our share repurchase authority by an additional $25 million, bringing the total to $33.3 million, we believe that our shares are substantially undervalued and plan to leverage this increased buyback authority to take advantage of the current opportunity. Looking beyond share repurchases, our healthy capital allocation structure positions us well to continue our digital transformation and other strategic initiatives. Now turning to our 2025 outlook. We are reiterating our previous guidance, expecting full year 2025 net sales to range between $445 million and $470 million. Inclusive of an estimated $5 million headwind to growth due to foreign exchange, thereby implying year-over-year growth net of foreign exchange between negative 1% and 5%. This guidance includes the assumption of a challenged macroeconomic environment, both in the United States and globally. It also reflects a conservative stance as we assess the impact of tariffs on raw materials supply chain disruptions and the effect on consumer behavior. For adjusted EBITDA, we continue to expect to range between $38 million and $44 million. This assumes that gross margin will be flat to modestly higher in 2025 and that quarterly SG&A will be $40 million to $42 million. Overall, we believe that the company is very well positioned to capture current market opportunities while navigating and adjusting to shifting trade policy and macroeconomic uncertainty. Our strategic initiatives are yielding good results and our cost-out measures have made us more streamlined and more efficient. This work, combined with our best-in-class product portfolio, passionate distributors and loyal customer base, position us well for significant future growth and continued profitability despite potential short-term headwinds. Now I will turn the time back to the operator.
Operator: [Operator Instructions] Our first question will come from Brian Holland from Davidson.
Brian Holland: To start with guidance. To clarify this, how did 1Q come in vis-a-vis internal expectations, were they ahead…
Terrence Moorehead: We were slightly ahead of our internal expectations for the quarter.
Brian Holland: So just maybe a little bit more specificity around thinking about guidance over the balance of the year, trying to discern how much of what we're seeing here in the maintaining of guidance is a reflection of, and it's only one quarter versus trying to signal forthcoming pressures or headwinds whether it's tariffs or whatever. So I guess what I'm getting at is, can you assume at the midpoint of guidance that the macro backdrop worsens from what we saw in 1Q over the balance of the year or sustains from where we've been over the last three months?
Terrence Moorehead: Why don't you take that, Shane?
Shane Jones: So we're very encouraged by the way that the year has started. We had a good Q1. Our continued -- our business continues to run very well. We just noted an uncertain environment. And so therefore, we're taking a conservative stance. As you think about the guidance that we've given, really, the midpoint of the guidance would say that we continue to have some macroeconomic instability that we continue to see some issues with tariffs, and we continue to see that impact not only in the United States but other parts of the country. The lower end of that guidance would say we're really in a recession type environment where things get very bad. And then the upper end would say that we continue to see the things that we've seen in Q1. We continue to see good results, and we get to that number.
Brian Holland: And one other follow-up on the guidance. Relative to whatever may have been factored into the initial guide for tariffs, if anything, going back a couple of months, based on what's known today, any changes there for better or worse with respect to -- other than obviously some of the pauses that have been put in place, anything look better or worse relative to what might have been embedded in initial expectations?
Shane Jones: That's a rapidly changing environment, obviously. So day-to-day, obviously, things can change all the time. So I can't say that nothing has changed. But at the same time, when we issued this guidance last quarter, we were very conservative, very thoughtful about making sure that it would encompass all situations that could occur. I would say -- I would reiterate that again to say we are trying to encompass things that we may not even know at this point as far as impacts to the economy from tariffs.
Terrence Moorehead: And I think what we would say is we've tried to do our homework on our end to make sure that we've done everything that we can do to prepare to offset, as Shane has mentioned earlier, the potential impact of tariffs. So we've tried to be prepared. We've tried to buy ourselves some time so that we can react to things across our supply chain. But it's a highly uncertain volatile market but we've done everything we think we can to protect ourselves in 2025.
Brian Holland: I'm tired of answering the question. I thought it would be fun to see someone else try to take a swing at it, but I appreciate the color, very helpful. Switching maybe strategically, curious about the new digital toolkit. Just checking to see, is that still on track for launch in North America in the second half of '25. And then maybe to what extent have your practitioners been able to test, get comfortable with the toolkit? And maybe just -- this would be a fairly significant rollout. So anything else you're doing to minimize order disruption during the introductory phase?
Terrence Moorehead: We do not anticipate any order disruption. This would be an incremental opportunity for them. So this won't interrupt any of the processes that the practitioners or retailers who want to use the tools it won't disrupt them in any way. We are still on track for a kind of back half of the year launch. In preparation for that, we will be getting it in people's hands. So right now, it's still kind of in our hands internally -- we have some processes to go through before we can kind of start showing it and getting it out to people but on a larger scale. So we're very optimistic and very, very pleased about the potential of really getting some powerful tools in our people's hands that will allow them to manage their customer bases better and hopefully attract new customers to their businesses as well.
Operator: Our next question comes from the line of Susan Anderson from Canaccord Genuity.
Susan Anderson: If you can talk a little bit about Europe and Asia, obviously, seeing very strong performance there. I think Europe has been growing for several quarters now in Asia, kind of just right behind them. So I guess how are you thinking about kind of the tailwinds there, the drivers there to kind of continue that growth as we look forward? Do you still see a lot of kind of market share or customers that you can kind of grab in those markets to continue to drive that growth.
Terrence Moorehead: I think the market opportunities continue to be there for us. The businesses in both of those two regions are driven by very strong fundamentals across sales and marketing. So we feel very good about that. We feel confident that when we go to market with either new products or we want to engage with kind of even to penetrate further with existing products, we have a powerful kind of approach to the market. So I think we feel good about both of those businesses and the opportunities are still there. Having said that, in APAC, they'll be going up in the back half of the year against some of their largest sales. And so right now, they've got great runway ahead of them. The challenge is going to be for them to keep that momentum up in the back half of the year. But again, it's a very strong team, very strong kind of opportunity for us. Shane, do you have any additional thoughts kind of on that one?
Shane Jones: No, as we look at places like Japan, we're really encouraged. As I mentioned, we see new customer growth of over 20% each quarter for three consecutive quarters. That's our best leading indicator for the future. So we have a lot of confidence, especially in Japan, we should see that continue. But to Terrence's point, if you look at the comps in Q3 and Q4 for both of those, we had an amazing results last year that they'll have to lap. So it's difficult to say that we're going to continue at 20% clip in those markets.
Terrence Moorehead: But the good news, again, is the growth we're seeing is based on orders, it's based on customers, that's sustainable. So we're not just trying to sell more products into the same people. So again, we feel good about the business.
Susan Anderson: And then maybe if you could just talk about North America. And I guess, what do you think needs to -- the digital sales are great, obviously. It's nice to see that 19% growth. In terms of the practitioners and the retailers, like how are you thinking about kind of getting that channel back on track in North America?
Terrence Moorehead: Susan, a couple of things. I think kind of first and foremost, it is about focus and building out the fundamentals there, as I had mentioned when I was talking. So we put some new -- a new team in place, this new leadership. Not just at the top, but kind of all the way down throughout the organization. So I think we've got a great team on the ground there to help build out the fundamentals, put some discipline in place, build out kind of stronger support as well I think a big piece of them turning the corner is going to be kind of getting them the right tools in place also. So again, in the back half of the year, they're going to have a completely new toolkit that will allow them to access consumers better, talk to their consumers better, access social media much more effectively. So really, it's a combination of building out the field fundamentals with getting the right kind of tools in their hand and then, of course, getting our marketing proposition, which is kind of really strengthening getting that right as well. So it's kind of a combination of those 3 things, I think, will really help them kind of catch up to the type of growth we're seeing in -- on the digital side of the business and really start to be complementary.
Susan Anderson: And then if I could just ask a couple of model questions here. I guess how should we think about the balance between gross margin and then op expenses to kind of get to your EBITDA for the rest of the year? And is there any cadence we should be thinking about as well? .
Terrence Moorehead: Shane, do you want to grab that?
Shane Jones: So for gross margin, we should see modest improvement as we progress through the year, not substantial, but modest improvement. So we should see a slight build each quarter. But modest. And then on our SG&A side, we expect between $40 million and $42 million of SG&A each quarter. .
Susan Anderson: And then also just any timing on the new share repurchase program or cadence of repurchases or anything like that we should take into consideration.
Shane Jones: We're going to take advantage of market opportunities. and we believe we're very undervalued at this point in time. So we're going to buy aggressively when the opportunity present itself.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back to Mr. Moorehead for closing remarks.
Terrence Moorehead: Okay, thank you, Chloe. We'd like to take -- thank everyone for listening to today's call, and we look forward to speaking with you when we report our second quarter 2025 results. And again, thanks for joining us, and take care.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.